Operator: Good afternoon. My name is Julian Bell and I'll be your conference facilitator for today. At this time, I would like to welcome everyone to Manhattan Associates Q4 2024 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer period. [Operator Instructions] As a reminder, ladies and gentlemen, this call is being recorded today, January 28, 2025. I would now like to introduce you to our host, Mr. Michael Bauer, Head of Invest Relations of Manhattan Associates. Mr. Bauer, you may begin your conference.
Michael Bauer: Great, thank you Julian. Good afternoon everyone. Welcome to Manhattan Associates 2024 fourth quarter earnings call. I will review our cautionary language and then turn the call over to Eddie Capel, our CEO. During this call, including the question and answer session, we may make forward-looking statements regarding future events of the future financial performance of Manhattan Associates. You are cautioned that these forward-looking statements involve risk and uncertainties, are not guarantees of future performance and that actual results may differ materially from the projections contained in our forward-looking statements. I refer you to the reports Manhattan Associates files with the SEC for important factors that could cause actual results to differ materially from those in our projections, particularly our Annual Report on Form 10-K for fiscal year 2023 and the risk factor discussion in that report, as well as any risk factor updates we provide on subsequent Form 10-Qs. We note the turbulent global macro environment could impact our performance and cause the actual results to differ materially from our projections. We're under no obligation to update these statements. In addition, our comments include certain non-GAAP financial measures to provide additional information to investors. We have reconciled all non-GAAP measures to the related GAAP measures in accordance with SEC rules. You'll find reconciliation schedules in the Form 8-K we submitted to the SEC earlier today and on our website at manh.com. Now I'll turn the call over to Eddie.
Eddie Capel : Thanks, Mike. And Good afternoon, everybody. Before we start, I'll just note that I've got a little bit of a sore throat, so I apologize if my voice is croaky. But thank you. Thank you for joining us, as we review our results for the fourth quarter and full year 2024, as well as our outlook for 2025. So 2024 was another very successful year for Manhattan. We surpassed the $1 billion total revenue milestone and achieved new records in RPO, total revenue, operating profit, free cash flow, and earnings per share. I'm also pleased to share with you that our Q4 RPO performance exceeded our expectations. Now we're entering 2025 with strong business momentum and we're optimistic about that growing market opportunity. We do remain cautious on the global economy though, which has become more acute. Near-term headwinds for our services business have surfaced as about 10% of our customers with in-flight implementations reduced their planned services work for the upcoming calendar and fiscal year. And we've adjusted our outlook accordingly. Now services continues to be very important to Manhattan. Firstly, because that team ensures our customers success. And secondly, it keeps us close to our customers. And these tight partnerships help us provide clarity on our customers' needs, which in turn -- allows us to incorporate that in our future waves of innovation, helping us drive future subscription growth. Now, in 2025, we'll have a record number of customer implementations. And those customers will continue to spend significantly on Manhattan Services, albeit a little less than we had previously planned. So to summarize, this shift in professional services work for future periods. Some deal pushes that we highlighted throughout 2024 and to a lesser extent, reduced customization and higher part utilization will cause services revenue to trough in the first quarter of 2025. With new service implementation projects steadily increasing throughout 2025, we anticipate solid sequential services revenue growth in the middle of the year before returning to year-over-year growth in Q4. Importantly though, our business fundamentals are solid and we have a large opportunity in front of us. And just like Q4, Q1 is off to a great start from a new software bookings perspective. And we entered 2025 with the benefit of several growth drivers, which include the acquisition of new customers, conversions of on-premise customers to the cloud, and cross-selling into our growing unified product portfolio. These growth drivers, along with our strong pipeline, provide us confidence that we'll achieve 20% plus cloud subscription revenue growth over the next several years, with cloud subscription revenue surpassing services revenue likely by the end of 2026. Now let's pivot to our quarterly results just for a moment. Q4 was a record quarter that exceeded expectations. Revenue increased 7% as reported to $256 million, highlighted by 26% growth in cloud, and adjusted earnings per diluted share increased 14% to $1.17. RPO or remaining performance obligation increased 25% to $1.8 billion. And if foreign exchange headwinds impacts are removed, RPO exceeded $1.8 billion in a prior outlook. In Q4, customer satisfaction levels remain high. Win rates were strong, they're about 70%. And demand for our client solutions was solid across our product portfolio. From a vertical perspective, retail manufacturing and wholesale continue to drive more than 80% of our bookings in the quarter. And across our solutions, the sub-verticals are pretty diverse. Some of the cloud deals that we won this quarter, a global multi-brand specialty retailer, a diversified healthcare services company, a global home furnishings company, a supermarket chain, a global life sciences company, a global designer, retailer and distributor of outdoor products, and many others. In Q4, about one quarter of our new bookings was generated from net new logos and we continue to have a healthy mix of conversions, upsells and cross-sells. And we believe this demonstrates the many and varied opportunities for sustainable future growth. That pipeline continues to be strong with solid demand across our product suites. Net new potential customers represent about 35% of that demand, and we have significant conversion opportunities. As we enter 2025 with just a little over 80% of our on-premise customers yet to begin their migration to our cloud solutions. A key driver in our strong solutions pipeline is Manhattan's commitment to innovation. And in 2024, we invested about $138 million in research and development. This equates to nearly $1 billion of total investment across our supply chain planning, execution, and omni-channel solutions since we began our journey to the cloud. As I stated before, I believe this level of consistent commitment is unmatched in our industry, and our investments are certainly paying off. For example, late in 2024, we launched Manhattan Active Supply Chain Planning. We introduced Iris, our next [iteration] (ph) of Point of Sale, and developed numerous advancements across supply chain execution. And this innovation is expanding at total adjustable market, and interest levels from our customers and prospects are certainly encouraging. In Q4, we signed our first Manhattan Active Supply Chain Planning customer. We closed two significant Point of Sale transactions, widened our leadership position in supply chain execution, and strengthened our already industry leading levels of customer satisfaction. And turning now to some of the specifics of our products. On the Point of Sale front, 2024 was a good year for us in terms of successful deployments with some great retail brands. We successfully deployed our Point of Sale systems rapidly in a scale with leading retailers such as PacSun and Arc'teryx. Both of these customers were able to roll out at cloud-native Point of Sale to their entire store fleet in a matter of weeks. And both of those companies were kind enough to speak on our behalf at the National Retail Federation Conference just a few weeks ago. And they spoke at a number of different settings at that conference, which was great. And at 2024 holiday peak data, we're finally seeing an equilibrium being reached between the percentage of sales transacted online and in-store. And as we suspected when we entered the Point of Sale business a few years ago, it's clear that store presence and performance still remains a vital ingredient for the vast majority of retailers. We believe that large scale store technology replacement cycle is emerging, which is going to fully decouple hardware from software in the store. In many of that store system, customers are now running on two operating systems in the store, and sometimes even all three of the major operating systems. Now, nowhere was the resurgent interest in Point of Sale more apparent than the National Retail Federation Conference. The customer activity level that we had at our [booth around] (ph) Point of Sale far outpaced anything we'd seen in prior years. Now, this uptick in interest in that Point of Sale was no doubt driven, at least in part, from our recent terrific showing in the Forrester Wave Point of Sale. For the [first point of sale] (ph) -- for the first time, we were named a leader. And we're certainly honored by this recognition. We believe it reflects the sustained investment that we've made in designing and building world-class user experience, industry leading feature depth and truly differentiated omnichannel capabilities, as well as unmatched ability to scale during peak periods. Now speaking of Forrester, last week and for the sixth time, we were named a leader in the Forrester omnichannel order management wave. Now no other software provider has ever received this distinction 6 times and certainly no other provider has been named the leader in both Point of Sale and order management. And one final note on Point of Sale this past quarter, Q4, we won what we believe is one of the most significant Point of Sale opportunities available in the Americas in 2024. We were honored to be selected by a leading tool and equipment retailer to power their next-generation store systems. And when this business represents an important milestone for us, as our leading technology platform and next-generation associate experience allowed us to demonstrate differentiating value outside of our historic sweet spot of the smaller footprint specialty retail stores. Turning to one of our other newer offerings. As I noted earlier, we signed our first Manhattan Active supply chain planning customer in the quarter, and we anticipate having this pet supplies retailer live with planning by about the middle of the year, at which point they'll be using Manhattan Active Warehouse Management, transportation management, store fulfillment and planning. And this early adopter shares certainly our belief that the combination of cloud-native technology and unified applications are the key to enabling operational excellence. And to close out our product update here. I will mention that our transportation management business ended the year on a nice high-note. We closed several important and highly competitive deals right at the end of the year with a fewer of these being replacements of other Gartner MQ Magic Quadrant Leaders. And we believe the power of the unified supply chain execution platform and our leading technology, again made the difference. So that concludes my business update. Dennis is going to provide you with an update on our financial performance and outlook. And then I'll close our prepared remarks with a brief summary before we move to Q&A. So Dennis?
Dennis Story: Okay. Thanks, Eddie. As Eddie highlighted, in 2024, we set records in RPO, total revenue, operating profit, free cash flow and earnings per share. Congratulations to all our team members around the globe for great execution throughout the year in a challenging macro environment. For both the quarter and the year, we delivered a strong balanced financial performance on top-line growth and operating margin, both our Q4 and full year results exceeded expectations and compare favorably to the Rule of 40. I'll start with recapping our financial performance for the quarter and year. While FX volatility persists, it did not have a meaningful impact to our Q4 full year total revenue growth. However, it was a $23 million headwind to full year RPO growth and a $33 million headwind to sequential RPO growth. FX also had a meaningful impactful to our 2025 guidance, which I'll discuss later. Now to our results. All growth rates are on an as-reported year-over-year basis, unless otherwise stated. For Q4, total revenue was $256 million, up 7% and full year revenue totaled $1.04 billion up 12%. Excluding license and maintenance revenue, which removes the revenue compression by our cloud transition, Q4 revenue growth was 11% and full year 16%. Q4 cloud revenue totaled $90 million, up 26%, with full year revenue totaling $337 million, up 32%. We had record bookings in Q4 as we closed out 2024 with RPO of $1.8 billion growing 25% year-over-year and 6% sequentially. Excluding FX impacts, RPO exceeded the high end of our $1.8 billion outlook by $13 million as we experienced strength from across our Manhattan Active suite of products. Service revenue of $119 million was up slightly compared to the year ago period and was $2 million below our prior expectations as budgetary constraints were more pronounced for several customers. Our Q4 adjusted operating profit was $90 million with an operating margin of 35.3%, representing over a 300 basis year-over-year improvement. Full year adjusted operating profit totaled $362 million with a 34.7% operating margin and represents a 440 basis point improvement over 2023. Both Q4 and 2024 results were driven by strong cloud revenue growth, combined with solid operating leverage, as our cloud business scales. Our Q4 earnings per share increased 14% to $1.17, and GAAP earnings per share declined to 1% or to $0.77. The GAAP decline includes a nonrecurring $7 million or $0.09 charge from a health insurance claim on behalf of an employee. Excluding this claim, GAAP earnings per share would have increased 10%. This resulted in full year adjusted earnings per share to increase 26% to $4.72 and GAAP earnings per share to increase 24% to $3.51. Moving to cash. Q4 operating cash flow increased to 18% to $105 million with a 39.7% free cash flow margin and a 35.9% adjusted EBITDA margin. Our full year operating cash flow was $295 million while generating a 27.5% free cash flow margin and 35.3% adjusted EBITDA margin. Turning to the balance sheet. Deferred revenue increased 17% year-over-year to $279 million. We ended the year with $266 million in cash and zero debt. Accordingly, we leveraged our strong cash position and invested $44 million in share repurchases in the quarter, resulting in $242 million in buybacks in 2024, given the strength of our balance sheet, solid cash collections and increasing visibility, our Board increased our share repurchase authority to $100 million, up from the prior customary $75 million. So turning to guidance. Our financial objective is to deliver sustainable double-digit top-line growth in top quartile operating margins benchmarked against enterprise software comps. As noted on prior earnings calls, our goal is to update our RPO outlook on an annual basis. Additionally, as previously discussed, our bookings performance is impacted by the number and relative value of large deals we close in any quarter, which can potentially cause lumpiness or non-linear bookings throughout the year. All guidance references made on today's call will be at the midpoint of their respective ranges and remind investors that we provide our preliminary parameters using FX rates at the conclusion of Q3. For RPO, we are now targeting $2.11 billion to $2.15 billion with the $2.13 billion midpoint, representing 20% growth. Removing the $33 million FX headwind, our 2025 RPO outlook is $13 million higher than our preliminary parameters. For the full year 2025 guidance, we now expect total revenue of $1.06 billion to $1.07 billion, the $70 million difference from our preliminary parameters consists of $20 million of FX headwind, and as Eddie highlighted, a reduction in services revenue. This will result in Q1 total revenue of $256 million to $258 million, and we are targeting total revenue of about $266.5 million in Q2, $273 million in Q3 and $269 million in Q4. For 2025 adjusted operating margin, we expect a range of 33% to 33.5% and FX in the range is unchanged from our prior parameters. On a quarterly basis, at the midpoint, adjusted operating margin is expected to be about 31% in Q1, 33.5% in Q2, 34.5% in Q3 and accounting for retail peak seasonality, 34% in Q4. This results in a full year adjusted EPS guidance range of $4.45 to $4.55 and a GAAP EPS range of $3.05 to $3.15, including -- included in GAAP are $0.15 of non-recurring charges, predominantly from non-recurring health insurance claim. For Q1, we are targeting adjusted earnings per share of $1.01 to $1.03 and GAAP earnings per share of $0.71 to $0.73. For Q2 through Q4, we expect GAAP earnings per share to be about $0.38 lower than adjusted EPS per quarter with the vast majority accounting for our investment and equity-based compensation. So here are some additional details on our 2025 outlook. For full year 2025, we expect cloud revenue of $405 million to $410 million. At the midpoint, this represents 21% growth and FX, the midpoint is unchanged from our earlier parameters. On a quarterly basis, this assumes $93.5 million in Q1, $99.5 million in Q2 and $105 million in Q3 and $109.5 million in Q4. For services, we now expect a range of $494 million to $500 million and assumes steady growth improvement throughout the year, as new service projects ramp. On a quarterly basis, this assumes $117 million in Q1, $127.5 million in Q2, $130.5 million in Q3 and accounting for retail peak seasonality $122 million in Q4. For maintenance, we expect a range of $118 million to $120 million or a 14% decline at the midpoint on attrition to cloud. On a quarterly basis, we expect Q1 to be $31.5 million; Q2, $31 million; Q3, $29 million; and Q4, $27.5 million. We expect license revenue to be roughly $13.5 million or 1% of 2025 total revenue. For Q1, we expect $8 million of license revenue and then between $1.5 million to $2.5 million per quarter. For hardware, we expect revenue to be between $6.5 million to $7 million per quarter. For consolidated subscription, maintenance and services margin, we are targeting about a 50 basis point year-over-year improvement for 2025. We expect our effective tax rate to be 21% and our diluted share count to be 62.7 million shares, which assumes no buyback activity. Lastly, as Eddie highlighted, to better assist investors assessment of our future cloud revenue growth, we are providing incremental color on our financial model that will not be updated on a regular cadence. Accounting for our solid RPO visibility, strong pipeline and multiple growth drivers, we expect to achieve 20%-plus cloud subscription revenue growth for the next several years, and we'll continue to invest in world-class innovation to drive future growth. So in summary, 2024 was a great year, and we’re tremendously excited for 2025 and beyond. Thank you, and back to Eddie for closing remarks.
Eddie Capel: Very good. Thank you, Dennis. Well, 2024 was a very successful year for Manhattan. In Q4, we achieved record bookings. And as I mentioned before, Q1 is off to a great start as well. So we are entering 2025 with a very strong software selling motion for sure. And while there's considerable FX noise and continued macro choppiness is causing some near-term services headwinds, structurally, Manhattan's business fundamentals are very, very solid. And we are excited about our growing market opportunity as we enter 2025, but we're the industry leader with world-class technology. Record levels of R&D investment that are increasing our TAM and contributing to our 70%-plus win rates. We've got industry-leading levels of customer satisfaction and a strong pipeline with numerous drivers for durable growth. So in closing, thanks everybody, for joining the call. Thank you to our global team for all the great work that they do for our customers, and that concludes our prepared remarks. So Julian, we'd be happy to take any questions at this point.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] And our first question comes from Terry Tillman, Truist Securities.
Terry Tillman : Yeah. Thanks for taking my questions. Good afternoon Eddie, Dennis and Mike. I may have a sore throat thing going on too here, Eddie. I have two or three questions. The first question is just related to the $127 million constant currency RPO. I think the last high watermark was way back in 4Q '21 at [125.5%] (ph), So I mean that seemed like a solid print. But I'm curious, though, you said you got started off to pretty well here in the first quarter. I've been asking repeatedly in the past that you're starting to see a little bit of seasonality, maybe where 4Q and 1Q are the strongest. Any more you could shed light in terms of 1Q activity and just confidence and visibility around just near-term strength in cloud bookings during the first quarter.
Eddie Capel : Yes. No. I mean, I’m going to answer probably the same way I have previously, Terry, doesn't seem to be really any seasonality other than sometimes maybe in the middle of the year, it's a little slowdown due to vacations, particularly internationally and so forth. But -- but yes, Q4 was a record for us, and we are off to a strong start in Q1. So we are excited about that. The balance across the product portfolio, existing customers versus new and the geographies was certainly encouraging as well.
Terry Tillman : Yes. And just a follow-up question, maybe a bit of a tale of two cities. But even towards the end here in your prepared remarks, we're almost in with bated breath. And it sounds like software is actually quite resilient demand-wise. Services, you're seeing some sluggishness -- what I'm curious about in services, and maybe it's too early to tell, but part of this is it's a whole different model with the cloud. And you have three plus versions each year, and so there's new stuff coming out. And so I'm just curious where you think we are on cyclicality versus maybe structural dynamics with services going forward? And then I have a last question.
Eddie Capel : Yes. There's no question that we are becoming much more efficient, implementing our software, that's having some impact. Being the now, I think unequivocal leader in the space, there were more and more particularly Tier 1 partners that are implementing our software, so that's having an impact as well. But there is no question, we've seen pressure on budgets. As we -- as our customers went into their budgeting cycle, call it, August, September, October of last year, they were more bullish, I think, about how much they wanted to get completed calendar year 2025. And we've got, obviously, a whole cadre of fabulous Tier 1 companies that honestly are going to continue to implement our software during 2025 and spend significant services dollars with us, just not quite as much as the team -- their teams are anticipating when they originally budgeted in the fall of last year. So I think they had their budgets pulled back a little bit, and that trickle down to us.
Terry Tillman : Got it. And just thanks for that Eddie. And Dennis, just another question in terms of -- I'm curious though on free cash flow. I know you don't typically guide to like a hard range or a number for free cash flow, free cash flow margin. But I'm just curious in terms of there's some kind of non-operating things that maybe impact cash flow or maybe they don't. But just anything you could share about relationship of free cash flow to either operating profit or EBITDA or just anything around just any one-time items we should think about for free cash flow. Thank you.
Dennis Story : Yes. I would say just in terms of cash flow through 2025, Terry, we are going to be probably at a run rate of about $300 million a quarter roughly and close out. We are targeting about $1.2 billion on a full year basis cash collections.
Terry Tillman: Okay, thank you.
Eddie Capel : Thank you Terry.
Operator: Thank you. Our next question comes from Joe Vruwink, Baird. Please proceed with your question.
Joe Vruwink : Great. Thanks for taking my questions. SAP on their earnings call overnight, they touched on this dynamic where large customers are also making cloud commitments. But initially, maybe it's only one-third of the potential scope and then the expectation is these customers come back 1 or 2 years later with another contract. Is this at all this dynamic happening with your WMS engagements? I know it's typically you might not grab the full warehouse footprint, and that just represents room for future expansion. Is any of that happening in kind of the changes and kind of service intentions you are noting here?
Eddie Capel : Not really, Joe. That's happened quite a lot for [frankly several] (ph) years now. So oftentimes, our customers, whatever the number may be, they may have 10 or 15 distribution centers and they'll commit to 1, 2 or 3. So that is not a new dynamic for us. We've seen it for several years, and we expect that to be -- we expect that to be ongoing. So it is not a new dynamic and it's not having any kind of near-term impact.
Joe Vruwink : Okay. Thank you for that. Could you maybe provide an update of your year-end RPO mix? I think in the past, you've kind of given a breakout WMS Active on the TMS. And I'm wondering, obviously, it sounds like you got some big wins and end Point of Sales at year-end. Is that product mix begins to shift, does that actually contribute to a shift in kind of services intensity around what needs to happen. And so that also factors and kind of your go-forward “Rightsized Headcounts”?
Eddie Capel : Yes. Yes. Great. Great set of a couple of conjoined questions there Joe, in reverse sequence though, the answer is not really. There is not really a big difference across the portfolio in terms of services attach rate. So whether it be planning, Point of Sale, WMS, TMS, OMS, or at least directionally, similar services attach rate. In terms of the breakdown of RPO, we don't provide a detailed breakdown there. I’d tell you that the preponderance certainly comes from WMS, followed by OMS, followed by TMS and then sort of other. But there is no question. We are – it is slow. It's -- there's nobody more impatient with this than me. But the Point of Sale, implementation activity, subscription activity and sales activity definitely seems to be picking up. So we are encouraged by that, for sure.
Joe Vruwink: Great. I’ll leave it there. Thank you.
Eddie Capel : Great. Thank you Joe.
Operator: And our next question comes from Brian Peterson with Raymond James. Please proceed.
Brian Peterson : Thanks. And maybe just following up on Joe's question. Eddie, I think in the past, you've mentioned some stats on the number of active WM customers that are signed or live. Just as we think about the progress that you've made as we have about 20% through that transition, any help on maybe giving a little more specifics on where we stand entering that transition in '25.
Eddie Capel : Yes. Well, in terms of number of live customers and so forth?
Brian Peterson : Correct.
Eddie Capel : I think we are a little more than 150 live customers, about 600 -- a little over 600 facilities around the world. And yes, we are just a tick below 80% of our customers still on-premise. So the inverse of that is not quite 20% have migrated.
Brian Peterson : Got it. And I just wanted to follow up on Point of Sale. I was out at NRF as well. I'd agree with you that the interest was definitely there. As you've seen a lot of product cycles and macro cycles in the past. I would love to get your sense of what is the customer optimism around this kind of cloud-based Point of Sale refresh -- and how much momentum do you think that you could see there in 2025? Thanks Eddie.
Eddie Capel : Yes, I don't know if I can quantify exactly how much momentum, Brian, I would love to be able to do that probably stay away from the specifics of that. But in terms of the enthusiasm for replacement cycles and so forth. I think look, we've been talking about this for a little while, but I think there is enthusiasm around upgrading technology, store system technology. Some of it is merely driven by the hardware aging out in the stores. It just – it is just aging out, as you probably know as a consumer. Some of it is driven by the retailer's desire to have a true omnichannel selling strategy in their retail store versus this very bifurcated online and foot traffic strategy. But as you pointed out, as we pointed out in our prepared remarks, definitely a lot more enthusiasm and interest at NRF. You would expect that be in a Retail Federation conference, but we certainly saw a lot of, frankly unsolicited inbound interest at the conference, which was encouraging.
Brian Peterson: Great to hear. Thanks Eddie.
Eddie Capel: Thank you Brian.
Operator: And our next question comes from Quinton Gabrielli with Piper Sandler. Please proceed.
Quinton Gabrielli : Hi guys. Thanks for taking our questions here. Maybe first, it would be helpful to understand kind of the magnitude of deal pushouts that we talked about in Q2 and Q3 and how much that impacted kind of the strong constant currency Q4 bookings here? And is it fair to kind of assume that all of those prior push deals closed in the quarter? Or is there incremental opportunity in Q1 and Q2 for those to catch up?
Eddie Capel : No. They have not all closed. We are obviously not going to give detailed empirical specifics around that. But some of them are closed and some haven't. The good news is of all of those deals across the last 12 months, maybe even longer, that we have been in the pipeline that haven't closed just yet. We haven't lost them, right? So there is still opportunities out there for us. There are certainly circumstances where a company will enter into a buying cycle. And as they get towards the end of it, decide they're going to push out a full year right, the full year of the budgetary cycle. So not -- we don't like it, but it is not an uncommon phenomenon.
Quinton Gabrielli : Got it. That's helpful. I understand. And then maybe on the services line, obviously, it is creating some messiness here in 2025. I understand there is some FX that's kind of out of your control, but does this accelerate the company's desire or decision to maybe focus more on leveraging large partners and accelerating kind of your cloud transition first and kind of pushing the services to the side? Or how do you balance that decision of pushing services while also accelerating that cloud growth? Thanks.
Eddie Capel : Yes. That's a great question, Quinton. So as I said in my prepared remarks, and we've been frankly saying this for a very long time. In 2026, we expect software revenue to exceed services revenue, okay? Obviously, with the growth -- with 20% or so growth on the software line, that makes perfect sense. Now obviously, that tells you what the trajectory looks like in '27, '28 and so on and so forth going forward. So software is continuing to grow at a faster rate than services. Now services is still very important to us, very important to us. You could put a case together, it's not as important to long-term top-line growth as software is, of course, because that is the core of what we do, core of what we build and where our innovation investments go, but services are very important for a couple of reasons. One, we feel it is important that we'd be engaged with the client to ensure that they get great success from that software. And second of all, our customers are really an important part of our secret innovation source. So staying very close to them, so we understand what market trends are we can build innovation to be, as I often say, 1/8 of a pace in front of them in the market is very, very important. But again, you bring up a good point there. But no, no intentions of moving away from the services business. But we certainly expect the software revenue to continue to grow much faster with that line crossing in 2026.
Dennis Story : Hi Quinton, it's Dennis Story. I just need to want to apologize. On the 2025, the free cash flow target should be $300 million with end of year -- full year, $1.2 billion in cash collections.
Quinton Gabrielli: Got it. Thank you both.
Operator: Thank you. Our next question comes from Mark Schappel with Loop Capital Markets. Please proceed.
Mark Schappel : Hi, thanks for taking my question. Eddie, starting with you, what's the sentiment from CIOs that you're seeing out there on moving forward with say, big WMS or even TMS upgrades or expansions. Are you seeing these initiatives being crowded out by other priorities?
Eddie Capel : I would say from a sentiment perspective, now obviously, we have a much more diverse customer base than just retail. But if we think about kind of the concentration of conversations that you are able to have in one place at NRF, which is no question retail. But if we compare January of 2024, with January of 2025. So just a couple, three weeks ago, my view would be the tone was much more enthusiastic than it was 12 months prior.
Mark Schappel : Great. Thank you. And then switching gears a little bit here. With respect to the new supply chain planning solutions. I was wondering if you could just provide some additional color or comments on the reference customers that you built up during the quarter.
Eddie Capel : Yes. Well, we signed our first customer in the quarter which honestly was sort of a surprise. When you launch a mission-critical applications such as supply chain planning. On our prior call, I know there were some questions about when should we expect to see some impact and so forth. And our initial estimates were that we would close our first customer kind of mid-year 2025. So we couldn't be more excited that what 65 days or something like that after launch. We closed our first deal. Now we have seen and continue to see a ton of enthusiasm around bringing finally, supply chain planning and supply chain execution together on a truly unified platform. But that enthusiasm usually takes quite a while to translate into deals closing. So again, to have our first visionary and early adopter customer after 65 days or so, certainly gives us reason for enthusiasm.
Mark Schappel: Great. Thank you.
Eddie Capel: Thank you Mark.
Operator: Thank you. And our next question comes from William Jellison with D.A. Davidson. Please proceed.
William Jellison : Hi, thanks for taking my question. The first relates to professional services, and I wanted to get an update because in the past, you've spoken to some strong increases in efficiency within that organization, in part related to record low attrition in the services labor force. And I was just curious on where we are with those kinds of trends. And in light of the updated expectations for services in 2025, how are you thinking about hiring in that organization?
Eddie Capel : Yes. Great question. Well, great questions. So first of all, efficiency continues to grow and the efficiency continues to get better. There is no question about that. And we -- our attrition is certainly very low in our professional services organization. So again, that continues to be a driver of efficiency. In terms of hiring, obviously, we've got to balance out supply and demand to state the very obvious. We've seen a downtick in demand, so we'll keep a very close eye on what that profile looks like. We expect it to start picking up in the back half of the year. But we've got time be able to monitor that situation before we decide specifically what the hiring profile in services for 2025 looks like.
William Jellison: Great. Thanks for taking my question.
Eddie Capel : My pleasure. Thank you, William.
Operator: And our next question comes from Dylan Becker with William Blair. Please proceed.
Dylan Becker : Hi, gentlemen. Appreciate it here. I don't want to continue hammering on the point of services, maybe, but Eddie, for you any additional color on the types of projects that are being pushed here? You talk about kind of the number of record customers onboarding are expected to go live in '25, growing enthusiasm, which I would agree with kind of general tone and sentiment coming out of NRF. But what's causing lower spending? And maybe how can we think about the mix of that $50 million impact between the internal efficiency and partnership versus maybe what's kind of being pushed out from a project perspective?
Eddie Capel : Yes. Well, obviously, we are not going to provide the specifics of how that -- that $50 million exactly breaks down. But the phenomenon goes something like this, that we have a customer with a large scale program that is -- and they're going to roll out maybe WMS across a bigger state or maybe they're going to roll out OMS across multiple brands. Let's say, hypothetically, it was 10 distribution centers they were planning in 2025 or five brands in 2025 in the case of OMS. What we're seeing is the WMS rollout continues. But instead of doing 10 distribution centers in 2025, it is going to be seven. Instead of doing five brands for OMS in 2025, it's going to be three of the brands. That's the type of phenomenon that we are seeing. We have seen no projects be canceled, right? So there is no project cancellations and so forth. But yes, budgets have been clipped. So our customers have tended to slow down some of those rollouts.
Dylan Becker : Okay. That's really helpful. Maybe one more sticking with you, Eddie here. If we think about, again the early momentum of adaptive planning and the importance of kind of planning and forecasting here. Help us understand maybe where the industry sits from a data readiness perspective, if we think about kind of that adoption curve maybe it ties into cloud modernization. But how that flows through to their willingness or propensity to kind of get more real time in that data and maybe how the latter can help accelerate our fuel performer. Thank you.
Eddie Capel : Yes, the data is ready. The data is available and ready for sure, because they run generally overnight batch jobs. [They’ve got] (ph) all the data queue it up, they run a large batch job overnight to create a forecast on a plan. And to some -- so we are going to be using essentially the exact same data inputs. But instead of accumulating it and running it overnight, we're able to run it in real time and take a slice of the plan and the forecast at any point along the way, enabling essentially the speed of the planning process to catch up with the speed of execution because the execution systems obviously have gained in pace over the last longer, really, but over the last 10 years or 15 years. And we're -- one of our goals is to make sure that planning starts to catch up with execution pace. So no concerns about the data availability. I’d tell you, just like everything else that we do, it is – there is a lot of change management that goes into moving from a batch-based system to a real-time processing system. So unlikely to be the lack of data availability, more likely to be getting through that change management process.
Dylan Becker: Very helpful. Thanks Eddie.
Operator: And our final question will come from George Kurosawa with Citi. Please proceed.
George Kurosawa : Hi, thanks for taking the questions. Sorry to start with politics here, but maybe just kind of the current house view on how you are thinking about the potential impact of tariffs on your business and if there is any kind of changes to your positioning?
Eddie Capel : Yes, sure. Good question. From our perspective, no tariffs really we expect on our business. Obviously, we are monitoring the situation from a supply chain perspective and if there are any impacts to our customers. Now given that we are largely a finished goods supply chain systems provider. So most of what we do happens when the goods hit the port -- hit the ports from wherever they come from, there is likely to be a little impact on Manhattan Associates, George.
George Kurosawa : Okay. Makes perfect sense. And then I did want to ask on the margin guide, I think maybe ticked down a tiny bit from your initial target. To me, I guess I would intuitively think that with software being relatively stronger than services, maybe there'd be some mix benefit. Are there any kind of OpEx lines that you are looking to invest more in? Or just any kind of color on the change there?
Eddie Capel : Well, look we are always -- we will increase our investment in research and development in 2025. We're, frankly, I'm proud to been able to save for the last 15 years -- 15 years running. We are going to spend more in research and development this year than we did last year. So that is true, again 2025 over the last 15 years for sure. We will spend more money in sales and marketing given that we've got a broader product portfolio. Obviously, we've got the FX noise and some impact from top-line revenue decline.
George Kurosawa: Make sense. Thanks for taking the questions.
Eddie Capel : My pleasure George. Thank you.
Operator: There are no further questions at this time. I would like to turn the floor back to Eddie Capel for closing remarks.
Eddie Capel : Thank you, Julian. Well, thanks, everybody, [for a tough night] (ph) with my croaky voice really appreciate it. I mentioned before, whilst we’ve seen some choppiness here, we’ve seen a little downturn in the services business for 2025, our fundamentals are very strong because our fundamentals are built around our product innovation. We are continuing to innovate. The demand for that innovation is strong. So we are as encouraged as we’ve ever been about our long-term future, and we look forward to telling you more about that in 90 days or so. So thanks again.
Operator: And with that, that does conclude today's teleconference. We thank you for your participation. You may disconnect your lines at this time.